Operator: Good day. My name is Savannah, and I will be your conference operator for today. At this time, I’d like to welcome everyone to the APEI Reports First Quarter 2022 Results Call. Today’s call is being recorded. All lines have been placed on mute to prevent any background noise, and after the speakers’ remarks, there will be a question-and-answer session.  Thank you. I would now like to turn the conference over to Ryan Koren. Please go ahead.
Ryan Koren: Thank you, and good afternoon, everyone. Welcome to APEI’s conference call to discuss first quarter 2022 financial and operating results. Joining me on the call today are Angela Selden, President and Chief Executive Officer; Rick Sunderland, Executive Vice President and Chief Financial Officer; and Steve Somers, Senior Vice President and Chief Strategy and Corporate Development Officer. Materials for the conference call today are available under the Events & Presentations section of the APEI website. Please note that statements made during this conference call and any accompanying presentation materials regarding APEI and its subsidiaries that are not historical facts may be forward-looking statements based on current expectations, assumptions, estimates and projections about APEI and the industry. In some cases forward-looking statements may be identified by words such as anticipate, believe, seek, could, estimate, expect, can, may, plan, should, will, would and similar words or their opposites. Forward-looking statements include, without limitation, statements regarding the expected growth, registrations and enrolments, revenue, net income, earnings per share and adjusted EBITDA, as well as other earnings guidance, expected benefits of the acquisition of Rasmussen University, plans with respect to recent, current and future initiatives on future demand or expectations for online enrollment and nursing education. Forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. These risks and uncertainties include among others, risks related effects of and the company’s responses to the COVID-19 pandemic, changing market demand, actions taken by the Department of Defense or branches of the U.S. Armed Forces, including actions related to the disruption and suspension of the tuition assistance program, challenges with integrating acquisitions, regulatory matters, competitive pressures and those described in our presentation, today’s press release, the company’s Form 10-Q filed with the SEC today and other SEC filings. The company undertakes no obligation to update publicly any forward-looking statement for any reason unless required by law, even if new information becomes available or other events occur in the future. This presentation contains references to non-GAAP financial information that we use to measure our business. A reconciliation between the non-GAAP financial measures we use and the most directly comparable GAAP measures is located in the appendix to our presentation and in our earnings release. Management believes that our presentation of non-GAAP financial information provides useful supplemental information to investors regarding our results of operations and should only be considered in addition to, and not as a substitute for or superior to any measure of financial performance prepared in accordance with GAAP. I would now like to turn the call over to our CEO, Angela Selden. Angie, please go ahead.
Angela Selden: Thank you, Ryan. And thank you all for joining us today and for your interest in American Public Education. APEI’s first quarter results reflect our commitment to continued momentum in our core businesses. As we have shared in prior quarters, we have defined our APEI enterprise priority as educating the service minded, with roughly one-third of our revenue resulting from educating active-duty military and veterans, one-third to the education of nurses, and one-third educating other service minded students, including federal workers, teachers, social workers, fire safety providers, public health and many other providers. Overall, APEI’s Q1 2022 revenue was in line with the expectations, particularly in comparison to the broader higher education marketplace. We believe that APEI’s positioning with a strong foundation of stable military registrations, coupled with the growing need for nurses in the U.S. have contributed to this performance and our business mix positions us well for the future. In Q1 2022, we saw strengthening of certain trends, starting first with the enrollment momentum at APUS from all branches of the Armed Services, and notably from the Army, where the registration portal difficulties from the transition to ArmyIgnitED have subsided. While approximately one-third of Army registrations are still processed through the exception to protocol, Army new and returning registrations overall at APEI have increased 11% year-over-year. Overall, active-duty military increased approximately 7% year-over-year. Rasmussen’s total nursing enrollment continued to grow in the first quarter, up 2%, compared to a difficult positive 23% comparison prior year in 2021 and up 12% on a two-year CAGR basis versus 2020. Hondros nursing enrollment represented an 8% growth in the first quarter of 2022, also as compared to a very difficult plus 45% prior year comp and represents a 25% two-year CAGR growth over the 2020 period. We are generating interest from large healthcare organizations in developing innovative solutions to address their unique nursing shortages. These include direct sponsorship and workforce upskilling. As the number one educator of pre-licensure nurses, we are well-positioned to address these opportunities. In future calls, we will provide more details on our progress with these discussions as the prospect of operationalizing these opportunities are transformative. As for our most recent acquisition Graduate School USA, a major repositioning is underway and we are actively integrating the business into our shared services operations, which will enable it to operate more efficiently and deliver a better experience to its customers. We will have more to share about our plans and expectations for GSUSA as our platform for career learning in the coming quarters. At APEI, we are continuing the integration efforts of both Rasmussen and Graduate School USA with a focus on realizing our planned cost synergies, while implementing our expanded, more efficient shared services model to support future organic and inorganic growth. While this has had a muted impact on margin improvement so far, we look to accelerate our shared services integration efforts with the operations of Rasmussen and Graduate School USA, and are confident in our ability to deliver long term value. One of our notable Q1 2022 accomplishments was the creation of the Student Experience Office and the hiring of our first Chief Experience Officer, Jeff Tognola, who comes to API with more than 25 years of marketing, customer experience and leadership, most recently from Walden University and Laureate and from global companies such as AT&T, Prudential Financial and Medco Health Solutions. Jeff will add Walden’s product management, marketing, enrollment, business development, analytics and operations teams to ensure an outstanding end-to-end customer experience and improved outcomes for students. During his tenure at Laureate Education, Jeff built and led the digital and organizational transformation around how digital marketing, recruitment of new students and the overall measurement capabilities operated across 12 institutions for over 500 products in 100-plus countries. At APEI, Jeff’s team will focus on overall marketing optimization and enrollment momentum, digital transformation of the student experience across each of APEI’s education units. Some additional positive news comes from APUS, as we have already in 2022 collected nearly $27 million against a large outstanding receivable with the Army, which continues to be reduced and we are confident in the Army’s commitment to return the receivable to normal course levels. Also in 2021, APUS graduated a record number of underrepresented students, with 35% representing diverse backgrounds, including 16% identifying as African-American and 14% identifying as Hispanic. We are pleased with how the repositioning of APEI in the past two years has created this momentum. APUS registrations have grown by 5% on a two-year CAGR basis, and enormous progress has been made in improving the student experience from streamlining the enrollment process to transitioning to a more modern learning delivery system. At Hondros, a remarkable turnaround was engineered and not only our enrollments up by nearly 1,000 students or approximately 50% in the first quarter of 2022 compared to first quarter of 2020, but we also expanded our footprint from five campuses in Ohio to six and now include two new states in Indiana and with the campus opening later this year in Michigan. That improvement in Hondros provided the blue print and runway for our transformational acquisition of Rasmussen University, which nearly doubled the size of APEI’s revenue base and added an additional 8,000 plus nursing students and 23 campuses to make APEI the largest educator of pre-licensure nurses in the country. That acquisition also helped us transform our capital structure by deploying much of our large non-earning cash through an area with long-term strong secular growth trends. We reintroduced APEI to the capital markets via an equity offering a year ago and syndicated a $175 million debt transaction. And finally, we acquired Graduate School USA and welcomed a new family of career learners to APEI in the form of the federal employees and agencies. As we turn our attention to Q2 2022, our nursing enrollment momentum in the northern region for Rasmussen has been primarily affected by the lack of available adjunct faculty to support in-person clinicals. These part-time resources have seen significant earning opportunities with their current employers through overtime opportunities or increase base compensation. As such, cohort enrollment was sized to align with available faculty. These faculty shortfalls are a number one priority and are being given significant attention. The near-term challenges of the external market for overall higher education enrollments due to the availability of higher paying jobs for prospective students and the pressures to faculty and staff wages has caused by inflation are real and in some cases have masked the good work that we have accomplished over the past two years. Despite that, we have held the line on tuition at APUS and Hondros, and at Rasmussen have even reduced tuition for all Master’s degree programs and some early childhood education programs. We continue to deliver an extraordinary value proposition of high quality, career-focused education at affordable prices for our students, while providing new career opportunities across our education units for our employees and ensuring a laser focus on the commitment to delivering great outcomes for shareholders. As we turn our attention to slide five, APEI has total nursing enrollment of approximately 10,900 that are predominantly pre-licensure. Rasmussen’s nursing enrollment continues to grow in the first quarter of 2022, up 2% as compared to a very difficult positive comp in 2021 and up 12% on a two-year CAGR basis. Nursing enrollment continues to be over 50% of total Rasmussen enrollment, and nursing revenue is over 60% of total Rasmussen revenue. At Hondros, we have approximately 2,500 nursing students, which represent an 8% growth in the first quarter of 2022 versus the prior year period and a 25% two-year CAGR growth over the 2020 period. As a reminder, we look forward to welcoming our first students at Hondros, Detroit, Michigan campus later this year, which remains on track. For the second quarter of 2022, we have seen some enrollment challenges in the northern region due to the limited student enrollment as a result of this in-person adjunct clinical faculty availability and some broad student interest levels tapering off, which we believe is temporary, and tied more to the economic environment over the last several months, including the tight labor market with high wage levels and low unemployment. In the second quarter of 2022, we anticipate total nursing enrollment to decrease marginally by roughly 1% compared to the same period of 2021. Notably, this small decline is against steep comparable positives in 2021, when the programs are exhibiting very strong enrollment growth with 30% and 33% increases at Rasmussen and Hondros, respectively. The two-year CAGR for Rasmussen Nursing is still a robust 13%, resulting in 8,200 current student enrollment. The two year CAGR for Hondros Nursing is 15%, resulting in 2,400 enrollments. Additionally, we are more confident than ever that we can work with community partners to become the solution to workforce shortages and we look forward to providing more updates in the coming quarters. As we turn to slide six, APUS saw strong net course registrations from active-duty military, particularly within Army, which was up 11% in the current quarter compared to the prior year period and is our largest active-duty military branch. These results are an indication that the ArmyIgnitED issues are mostly behind us. Additionally, Army has made headway in reducing the net accounts receivable that has been building over the majority of 2021. Overall, APUS experienced increased net course registrations from all the major active duty branches in the first quarter of 2022 compared to 2021, and overall, active-duty military increased approximately 7% year-over-year. Our veteran net course registrations were up sequentially fourth quarter 2021 by approximately 9%, but down versus a strong comparable first quarter 2021 period by 4%. APUS’s other online educational learners that only represent 15% of our registrations saw a pullback in net course registrations of roughly 11% in the first quarter 2022 as compared to 2021, due to the broader macro environment. Overall, our significant market share in the military provides some insulation against the broader online education market trends. As nursing has accelerated at Rasmussen over the past several years, Rasmussen’s non-nursing enrollments declined 14% in the first quarter of 2022 as compared to the first quarter of 2021 and in line with the broader private for-profit general education sector. We believe continued tight labor markets and substantial growth in nominal wages has muted the general population’s focus on continuing educational pursuits. In addition, prior to the pandemic, Rasmussen had a sizable early education enrollment, but was significantly reduced due to the closure of daycare centers and ultimately businesses, which represented about 25% of the total decline in non-nursing over that period. Looking ahead, we expect the tight labor market to continue to put pressure on non-military registrations in the coming months, which we anticipate will lead to decreases in year-over-year registrations in enrollments. For the second quarter of 2022, we anticipate net course registrations of APUS to be minus 2% to plus 1% when compared to the second quarter of 2021. This translates to a range of 80,900 to 83,400 net course registrations in the second quarter of 2022 and is primarily driven by an expected decline in non-military registrations along with a slight impact on military registrations. For the month of April, APUS saw a small decline due to the Ukraine conflict that resulted in increased training requirements for the military, followed by strong expected growth in military registrations for May and June. At Rasmussen, non-nursing enrollment is expected to decrease by roughly 11% in the second quarter 2022 compared to the prior year due to the general student behavior trends in the United States. I would now like to turn the call over to Rick to review our first quarter results and second quarter outlook in further detail.
Rick Sunderland: Thank you, Angie. On slide eight, we present our financial highlights for the first quarter of 2022. Total revenue was $155 million, up approximately $66 million from the comparable prior year period due to the addition of Rasmussen and Graduate School results in the 2022 period. At APUS, although net course registrations were up 1% in 2022 compared to the 2021 quarter, APUS first quarter 2022 revenue decreased approximately 6% to $73 million. The decrease in revenue was a result of the timing of registrations within the quarter and lower revenue per net course registration. The increase in net course registrations in the current quarter was driven by active-duty military registration growth. These students utilized tuition assistance or TA and have lower revenue per net course registration than other funding sources. Hondros revenue increased approximately 4% to $12 million in the first quarter of 2022 versus the comparable prior year period, driven by the year-over-year enrollment growth that Angie touched on earlier. First quarter 2022, Rasmussen revenue was $67 million and the consolidated results include approximately $3 million of Graduate School revenue within corporate and other. Total costs and expenses for the first quarter 2022 were $150 million, an increase of approximately $72 million compared to the prior period, due primarily to the inclusion of Rasmussen and Graduate School results in the current year period. Expenses for the quarter include $2 million of non-cash stock compensation expense, $900,000 of professional fees and integration cost, primarily related to the integration of Graduate School and Rasmussen, $800,000 related to loss on disposal of long lived assets and approximately $8 million of depreciation and amortization, all on a pre-tax basis. As a reminder, we completed a reduction in-force at Rasmussen in mid-January 2022 that we estimate will result in pre-tax labor and benefits savings in the range of $2.5 million to $3.5 million in 2022, which excludes $400,000 in severance costs associated with these actions. On a consolidated basis, APEI adjusted EBITDA was $17.4 million for the current year quarter compared to $16 million in the prior year period. Net income per diluted share for the current quarter was $0.28 versus $0.49 in the prior year period. Total cash and cash equivalents at the end of the first quarter were $171 million, an increase of approximately $21 million from year end 2021. Cash provided by operating activities was $25 million in the 2022 quarter, compared to $11 million in the prior year period. The increase in cash flow from operations was primarily due to payments received from Army that totaled approximately $21 million in the quarter. Accounts receivable from the Army was $19 million at March 31, was approximately $11 million older than 60 days from course start date. We continue to work with the Army to address the cash to accounts receivable. Since quarter end, we have received an additional $6 million in payments with another $6.8 million approved by Army for payment but not yet paid. Restricted cash on March 31 was approximately $26 million and continues to be almost entirely comprised of a restricted certificate of deposit that secures a letter of credit for Rasmussen with the Department of Education. Additionally, there were no borrowings under APEI’s $20 million revolving credit facility and which remains fully available at this time. Turning to slide nine, second quarter 2022 outlook. APEI’s outlook for the second quarter of 2022 is as follows. APEI’s net course registrations are expected to be in the range of minus 2% to plus 1% year-over-year. At Rasmussen and Hondros, second quarter student enrollment is actual because of the quarterly start to these schools. At Rasmussen, second quarter total nursing student enrollment decreased 2% year-over-year to approximately 8,200 students. Total -- non-nursing total enrollment declined 10% for an aggregate Rasmussen enrollment decline of approximately 6% year-over-year to approximately 15,900 students. At Hondros, second quarter total student enrollment increased by 3% year-over-year to approximately 2,400 students. In the second quarter of 2022, consolidated revenue is expected to increase between 92% to 97% year-over-year, given the addition of Rasmussen and Graduate School. The company expects net income to be between $0.1 million and $1.4 million and earnings per diluted share of between zero per diluted share and $0.07 per diluted share. Adjusted EBITDA is expected to be between $14.3 million and $16.2 million for the second quarter of 2022. With that, I would like to turn it back to Angie for final comments.
Angela Selden: Thank you, Rick. In summary, we remain confident as we continue to transform and diversify APEI’s portfolio of career learning assets and fulfill our mission of educating the service minded. Demand for nursing graduates is expected to remain strong for the foreseeable future as employers are clamoring for new nurses to supply the national shortage and we believe we are well-positioned to fulfill these needs. APUS continues to strengthen its number one position in education to the U.S. military and veterans, and overall, APEI continues to represent an exceptional return on educational investment for working adults by keeping tuition rates in check, while providing books and materials at no cost, and being one of the most friendly transfer credit institutions. We now ask the Operator to open the line for questions.
Operator: Thank you.  And our first question will come from Tobey Sommer with Truist Securities. Please go ahead.
Jasper Bibb: Hey. Good afternoon. This is Jasper Bibb on for Tobey. Marketing expenses came in a bit higher than we are expecting in the first quarter. I was just hoping you could update us on what you are seeing with respect to student interest levels and managing the marketing yield there?
Rick Sunderland: So Jasper let me comment on the numbers and then Angie can comment on student interest. You are right, marketing numbers were up. At Rasmussen, we saw approximately $1 million higher than what we were actually expecting when we gave guidance as they invest in student momentum. And at Hondros, when you look at the quarter was up about $400,000 year-over-year. So, investing both the nursing related businesses. Angie?
Angela Selden: Sure. And what we are seeing in the conversion of those marketing dollars is very promising, but it hasn’t necessarily led to the number of enrollments that would be equivalent to prior year period. So we see double-digit increases in applications. What we are seeing is a slower application to enrollment pace with a handful of students primarily focused in the Northern Territory of Rasmussen’s business. But we are keenly focused on adding to our admissions reps to help support the questions and the curiosity that those prospective students have. Certainly taking the time to fill out an application and we will continue to lean in and convert those students to enroll students. The other thing that we are seeing is the, as we mentioned in the script, that we have had to increase the wages of our adjunct and full time faculty, specifically because the State of Minnesota has required Rasmussen to go back to in-person clinicals, whereas in the last two years, since the beginning of COVID, Rasmussen has been given the opportunity to do clinical rotations virtually. And so, consequently, we are now looking to ask both the part time and full time faculty to be present in hospital environments to support the clinical learning for the students and that’s creating some scheduling and availability conflicts. So we are looking at different kinds of incentives to ensure that we can fulfill the clinical placements that we need with our students with the appropriate adjunct faculty support.
Jasper Bibb: Thanks. So that makes sense. And then I understand you are guiding 2Q yet, over some of the trends you cited, do you think the second quarter would represent a low point for margins in 2022 or how should we think about the cadence of margins over the balance of the year here?
Rick Sunderland: I don’t think inflation is going to subside that quickly, nor will the pressure on wages, particularly related to nursing faculty. Well, that’s what’s up inside. So that ongoing inflationary environment with a particular focus on wage inflation and nursing faculty costs is going to have an impact on our nursing businesses through the remainder of this year.
Angela Selden: We do believe it’s an environment where it’s our obligation to tighten our belts and so we will be looking for opportunities for cost savings across all of our education units in the coming quarters to really improve the margin profile in spite of inflation.
Jasper Bibb: Okay. Got it. And then with the APUS enrollments being down pretty significantly from 1Q in the second quarter guidance, can you give a bit more color on what’s driving that, that enrollment trend? Is that primarily the impact of the troop movements you have decided in response to Russia-Ukraine, or is there anything else we should think about that?
Rick Sunderland: Jasper, it’s Rick. No, that’s just seasonality, year-over-year, we are seeing, there was a 1% increase in the first quarter against prior year, and given our guidance and if you go to the midpoint, it would be about a 1% increase in the second quarter. So both quarters are tracking on a relative basis, very consistent with the prior year, you are just observing seasonality.
Angela Selden: And I would add we did, as we mentioned in the script, see a slight decline in the first month of the quarter in April because of the Ukraine conflict. But we are seeing momentum building again as the troops get deployed and they are waiting for their instructions so able to kind of re-engage in their education. The other thing that we do know about the second quarter is that we do have one last week of registration enrollment as compared to the prior year. So that will be factored into the second quarter as well.
Jasper Bibb: All right. Last one for me. There have been a couple other services providers talking about students may be taking less courses than they have in previous semesters, is that something you are seeing in any of your portfolio of institutions?
Rick Sunderland: Right. So just we got to break down the different units in the nursing schools, it’s a prescribed curriculum, right? So you sign up on a term or quarter basis and the curriculum is prescribed based upon the program that you are in. When you look at APUS, the military students have historically taken fewer courses and so on average, we may see a very slight decline in average courses taken over the entirety of the university simply because of that mix shift. But I don’t think we have noticed, we have observed any change in average course load at APUS by call it customer segment.
Angela Selden: I would put that some numbers behind that, at Rasmussen, the retention rates for students. So once they have defined a cohort and you are taking four classes each quarter, the retention is an all-time high at Rasmussen. So once students have begun their educational journey, they are completing at an all-time high pace and we are also very pleased to report that retention, meaning the concentration of courses at APEI was up 8% year-over-year in the first quarter.
Jasper Bibb: Appreciate the comment. Thanks for taking the questions.
Operator: Our next question will come from Stephen Sheldon with William Blair. Please go ahead.
Matt Filek: Hi, everyone. This is Matt Filek on for Stephen. Thank you for taking my questions. I was wondering what impact are enrollment caps having on the business and are there any campuses that are struggling to grow because of those enrollment caps?
Angela Selden: Matt, thanks for the question. As we mentioned, we aren’t seeing any growth restrictions because of enrollment caps across the Rasmussen campuses. We have no enrollment caps among the other education units. We have a -- what I would call a self-imposed limit on the number of students who are enrolling in the northern region of Rasmussen presently, because of the lack of availability of the clinical faculty. But that is not anything other than our own obligation to make sure the students are getting a high quality education and we have the right mix of faculty to students.
Rick Sunderland: So -- this is Rick. So the limit there is based upon the availability of faculty particularly in the clinical area. When we think about the physical space, the campuses, we have plenty of room to continue to grow enrollment within those. So once we solve the availability of faculty challenge, we have capacity within the physical spaces to continue to grow enrollments.
Matt Filek: Great. Thank you. That’s helpful. And then on the nursing faculty front, could you maybe just talk a little more about what actions you are specifically taking to address that and how do you generally feel about your ability to build nursing faculty capacity to meet student demand over the remaining part of 2022?
Angela Selden: Great question. We have a variety of basically financial and flex schedule levers that we are using right now. Certainly, I think the financial situation is mostly acute. But as we mentioned, it was this very swift shift from a virtual clinical in the State of Minnesota back to in-person clinicals that has created a lack of availability at some of the add-on faculty that we have been relying in an virtual environment in the past. And so we will see an increase, further increase in some wages either because of state bonuses or increased prices that we will pay for add-on faculty to now to do these clinicals in-person, in hospitals rather than being able to do those virtually from the comfort of their homes or their office. So we believe that that we will see continued pressure on our faculty wages in the coming quarter or two.
Matt Filek: Thanks for that color. I will jump back in the queue.
Operator: And our next question will come from Raj Sharma with B. Riley. Please go ahead. Raj?
Raj Sharma: Hi. Sorry about that. Thank you for taking my question. I wanted to understand the Rasmussen University in marketing spend, is that on the non-nursing non-working as well and I wanted to understand the enrollment declines a little bit more? And also the big, big picture on the non-nursing side, you talked about the early education accounting for a quarter of the decline. Could you please talk about that and the longer term sort of picture we are seeing?
Angela Selden: Hi, Raj...
Raj Sharma:  fact...
Angela Selden: Sorry, I will let you finish your question.
Raj Sharma: No. Sorry. No. I am done. Go ahead, please.
Angela Selden: Okay. Sure. So I will start by saying that there is positive news coming from some of the non-nursing segments in Rasmussen in quarter two, where we are seeing flat to growing enrollments there and we believe that that’s the return of interest of students wanting to take education, benefits and continue their education. So we do believe that there is momentum in several of those, including the Business School, Health Sciences and in the Justice Studies program. We have also, as we noted in the 10-Q, terminated the media buying relationship that Rasmussen had with Coliges , which is allowing APEI to have more control over the choices being made about how we are going to generate leads and where we are going to invest those dollars. That will be fully terminated and APEI will be responsible for media buying, direct-to-consumer media channel buying effective July 1, 2022, and so, we have confidence that we, with the ability to direct those efforts, will be able to create a balance around nursing -- pre-licensure nursing leads and the key non-nursing businesses to generate more momentum across both of those segments.
Raj Sharma: So has the decline in enrollment largely been because of the economic tight labor markets and keeping students away from enrolling or have marketing dollars not been spent or are they have been spending and is not efficient?
Angela Selden: Yeah. Great question.
Raj Sharma: And now you are doing it in-house, right?
Angela Selden: Yeah. There’s been a meaningful shift, as we have discussed in prior calls of marketing dollars investing in pre-licensure nursing leads and kind of being redirected away from the non-nursing businesses. We intend to try and create a NAND strategy with control over the media buying now for Rasmussen effective July 1, 2022 and have a high degree of confidence that we will be able to drive leads in both of those segments going forward. And what I will reinforce again as we mentioned in the script is that, it is really, almost exclusively a Northern region issue. We are not seeing the same dilemmas in our markets in Florida or Illinois.
Raj Sharma: But that’s also related to the faculty, right, unavailability…
Angela Selden: That’s right.
Raj Sharma: …of the aging faculty?.
Angela Selden: Yeah.
Raj Sharma: Okay. My next question is on just an observation, are Hondros enrollment transition from the nursing resolution. How does that second quarter and it seem a little different, Hondros seems to be doing a little better?
Rick Sunderland: Hey, Raj. It’s Rick. Yes. And I think that’s a market based view, right? It’s what’s going on in the Ohio market where they have their largest concentration…
Raj Sharma: Okay.
Rick Sunderland: … versus the impact we see in the north central region at Rasmussen.
Raj Sharma: Right.
Angela Selden: Yeah. Then fewer problems with access to faculty, I think, it’s…
Raj Sharma: Okay.
Angela Selden: … primarily one of the things that isn’t clouding the Hondros picture like it is in Ras.
Raj Sharma: Got it. And then on the APUS enrollment, it’s flat -- it’s essentially flat second quarter guidance. Is that despite the military enrollment sort of picking up Army portal, I just want to understand that a little better the components of it. The Army portal issues are kind of behind us. That would be help. There was a law because Ukraine, that you saw a pickup in the interest. But the enrollment trends are guided to flat.
Rick Sunderland: I think you got it right.
Raj Sharma: Late market or...
Rick Sunderland: Yeah. I think you got it right, Raj, and Angie in her comments noted that we continue to see strength in the military some softness in May, because of Eastern Europe recovery from that and the other elements of the APUS business, military affiliated and non-military remain soft.
Angela Selden: What I will say, Raj, is that, we -- as we mentioned on our prior call, have completed a significant portion of our CRM upgrade and we are seeing a meaningful increase in the number of applicants at APUS. And much like the situation at Rasmussen, where we want to make sure we have the right number of admissions, reps able to process the interested student applications. And we are also trying to work to appropriately size the APUS admissions team as well to make sure that we are converting every single one of those applications that we can into enrolled students. So it isn’t that APUS in particular. On the non-military side, we don’t really see it being as much as a top of the funnel issue as it is really being able to take those interesting prospects and converting them into enrolled students. And Jeff Tognola, our new CXO is laser focused on this in conjunction with the APUS management team.
Raj Sharma: Great. That’s exciting. That’s exciting. Thank you for answering my questions. I will take my -- I will take it offline. Thank you.
Angela Selden: Sure.
Operator: And with no further questions, I will conclude today’s conference. Thank you for your participation and you may now disconnect.